Operator: Good day and thank you for standing by. Welcome to the ZoomInfo Fourth Quarter and Full Year 2021 Financial Results Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference may be recorded. [Operator Instructions] I would now like to hand the conference over to your host today, Jerry Sisitsky, Investor Relations. Please go ahead.
Jerry Sisitsky: Great. Thanks, Michelle, and welcome everyone to ZoomInfo's financial results conference call highlighting our results for the fourth quarter and full year 2021. With me on the call today are Henry Schuck, Founder and CEO of ZoomInfo; and Cameron Hyzer, our Chief Financial Officer. After their remarks, we'll open the call to Q&A. During this call, any forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Expressions of future goals, including business outlook; expectations for future financial performance and similar items, including, without limitation, expressions using the terminology may, will, expect, anticipate and believe; and expressions which reflect something other than historical facts are intended to identify forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors sections of our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements in order to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statement included in the slides that we have posted to our Investor Relations website at ir.zoominfo.com. All metrics discussed on this call are non-GAAP, unless otherwise noted. A reconciliation can be found in the financial results press release or in the slides that we have posted to our Investor Relations website. We'll be participating in a number of investor events this quarter, and we're excited that we are able to meet with more investors in person. Lastly, we plan to host an investor event on Thursday, June 2, beginning at 3:00 p.m. Eastern Time. We ask that you please save the date. More details and registration information will be available through our Investor Relations website. We look forward to your participation. With that, I'll turn the call over to our CEO, Henry Schuck.
Henry Schuck: Thank you, Jerry, and welcome, everyone. This was the strongest fourth quarter in the company's history. We continue to drive growth across all our major initiatives, enterprise, international and our emerging products while continuing to broaden and deepen our data moat. The innovation we deliver and the enhanced value that we provide our customers drives a unique combination of world-class revenue growth, profitability –2021 was a transformative year for ZoomInfo as we continue to execute on our vision of delivering a comprehensive revenue operating system, [Technical Difficulty] go-to-market. This year, we significantly expanded our offering by developing an application layer on top of our best-in-class data assets and acquiring and quickly integrating chat conversation intelligence and orchestration technology into the platform. These innovations enabled us to add more new customers than ever before and drove increasing levels of sales to existing customers and record net revenue retention of 116%, up from 108% in 2020. In the fourth quarter, we delivered GAAP revenue of $222 million, year-over-year growth – quarterly growth of 13% when adjusted for the number of days in the quarter. For the full year, we delivered GAAP revenue of $747 million, up 57% on the year, organic growth greater than 50%, operating income margin of 41% and unlevered free cash flow of $347 million, up 42% year-over-year and quickly approaching more than $1 per share in free cash flow. We are delivering a leading combination of growth, profitability and free cash flow generation at scale. We closed the quarter with 1,452 customers with greater than $100,000 in ACV, up 70% year-over-year, while adding more new customers to the overall business than any other quarter in our history. Growth across our newly introduced products was strong as well with Chorus and RingLead leading the way. At the time of acquisition, our conversation intelligence platform Chorus was growing 100% year-over-year and we accelerated that growth in both the third and fourth quarters of 2021. We enabled more reps to sell the Chorus solution and accelerated investments in artificial intelligence, transcription, scalability and platform integration to innovate faster than the rest of the market. We believe our accelerating growth rates on Chorus to make us the fastest-growing conversation intelligence provider in the market. Another testament to the power of our go-to-market motion is demonstrated through RingLead, where in Q4 we've added more than 2x the amount of ACV than it did independently in Q3. We have consistently proven our ability to acquire well, integrate quickly, innovate on top of and accelerate the growth rates of the technologies that we acquire. As we exited 2021, international revenue eclipsed a run rate of $100 million and for the year international revenue was up 91%. As Cameron will detail, we expect our momentum across all of these initiatives to continue into 2022 with our initial guidance for the year calling for revenue growth of 36% and over $425 million in unlevered free cash flow. This month, we also launched RevOS, our modern operating system for revenue professionals and the future of go-to-market software. RevOS delivers data insight, software and integration needed by businesses and professionals to achieve their growth potential in a new insight-driven era of [Technical Difficulty]. Through a new unified system, RevOS comprises four primary product pillars: SalesOS, RecruitingOS, OperationsOS and our new account-based marketing platform MarketingOS. RevOS and the operating system framework helped introduce customers to the breadth of our offering and the value of technology consolidate [Technical Difficulty] net revenue retention rates and ASP as customers continue to adopt more functionality from more areas of our platform. Today, our customers are using the full spectrum of the ZoomInfo platform to go-to-market and scale their businesses. Our platform provides the products and software that can help them power revenue at every phase of their growth journey. Two different trillion dollar market cap companies are leveraging ZoomInfo across their sales team, both using our Data-as-a-Service offering to identify their total addressable markets and to score leads to power their outbound motion. Both are leveraging our APIs to update and enrich their customer data within their respective go-to-market systems as well. Kaseya, a leading provider of unified IT management and security software for MSPs and small businesses needed a more robust data provider for enrichment and account segmentation purposes. They switched to the ZoomInfo platform, including intent signal, giving them real-time access to the businesses and market for security software and identifying previously anonymous visitors to their website, through our robust IP to company graph. Their innovative marketing team has invested in our new marketing OS platform, while SalesOS is being rolled out to the majority of their sellers and demand gen teams across eight different business units. A leading provider of unified communications and communications wise increased their usage of ZoomInfo through product expansion, extending access to new sales teams and serving new datasets to marketing. They're now leveraging SalesOS, Chorus and DaaS and getting value from ZoomInfo across sales, marketing and operations. As a RingLead customer, we're able to provide them a unified set of enrichment tools, tightly integrated into the ZoomInfo platform. As a result they're able to better analyze, engage and penetrate new markets while aggressively growing their market reach. In addition to delivering success for commercial businesses, we're excited to extend our data to the government sector as we recently announced the availability for government agencies to purchase ZoomInfo through a GSA Schedule where we have already closed business and we anticipate unsealing legacy vendors with hundreds of millions of dollars of existing contract value. As part of the operating system evolution, we have also launched MarketingOS, our account-based marketing platform designed to give marketers new ways to reach target accounts and drive qualified leads for sales. Since the acquisition of Clickagy in 2020, we have assembled a team of ABM experts in our product engineering, strategy and customer success organization and have been diligently working to bring a broad suite of marketing software to market. In all of our prelaunch diligence, we heard over and over again that the applications that marketers were leveraging to do account-based marketing were falling short for one main reason. The data being leveraged in those platforms was both inaccurate and incomplete and that's no surprise. Today's ABM platforms were all designed to leverage the company's own first-party data that exists in their CRM or marketing automation system. And in 15 years of running ZoomInfo, I've never heard a rep manager or revenue leader describe that type of data as either complete or accurate. Yet without accurate and complete data, marketers aim advertising dollars at the wrong company and target the wrong people at those companies. They deliver fruitless leads to sales, which erodes confidence and fails to build alignment between sales and marketing. So we built MarketingOS the same way we build every application with our best-in-class data at the foundation of the application layer. ZoomInfo's MarketingOS allows marketers to engage their buyers directly through display and social advertising network to create hyper-targeted campaigns and integrated systems, to identify and prioritize best-fit audiences using intent, engagement and website visitor data and to programmatically – industry-leading data science algorithms to engage buyers when they're most likely to convert. For today's B2B revenue teams, data insights, technology and orchestration are core to the motion they use to market and sell their products, but these capabilities are siloed, some can be found in marketing tech or revenue operations while others are in the sales tech stack. The launch of MarketingOS puts best-in-class marketing technology into the hands of innovative go-to-market professionals. And because ZoomInfo has long been the standard for sales teams to target the right accounts and accelerate pipeline, it also breaks down the walls that keep marketing and sales from being aligned. We've also continued to innovate across several key areas in our platform. We've built our bidirectional sync with Salesforce to allow our customers to leverage their own customer data alongside ZoomInfo's data to help them uncover more insights about their existing book of business and to be smarter and more data-driven about their next go-to-market motion. This functionality has been incredibly well received with a nearly 30% increase in adoption from Q3 to Q4. Following the success of our Salesforce sync, we have expanded the functionality to HubSpot and Marketo. We've introduced this advanced integration functionality to our SalesOS and MarketingOS platforms to enhance the user's ability to marry first and third-party data to build hyper-tailored audiences of their most ideal customers. With Engage, our sales automation platform, we released our largest feature set to date, including a deep integration with Microsoft Dynamics CRM and significant investments in e-mail and automation capabilities. Prebuilt e-mail and template library, deeper analytics through AI e-mail assistant enable customers to create better e-mails at scale. All of this is available right in the Gmail interface through our new Engage Gmail plug-in. With this release, Engage is fully able to meet the sales automation needs of companies of all sizes, on par with competitive point solutions. We believe that when combined with native integration to our best-in-class data and the most robust conversation intelligence product in Chorus, we will continue to take market share in the engagement layer. We also continue to hear from customers that the accuracy and the quality of the data and insights available in our platform differentiates us, and we've doubled down on our investment there, further widening our competitive moat around data quality. We re-architected and modernized our data acquisition systems and infrastructure to leverage the most modern neural network and machine learning model. As a result of our investment in software, machine learning and infrastructure, we grew international contact coverage by more than 20 million contacts in Q4, while international company coverage grew more than 100% year-over-year and by more than 2.5 million companies in Q4. We also continue to invest in our team, having added approximately 1,000 employees this year. While growth is important, our teams also expect us to commit to diversity and inclusion. Today, our teams are more racially diverse than our SaaS peers. We have 10% greater Hispanic representation across our sales organization, 35% greater black representation across our sales and engineering organization, 70% greater black representation across our sales managers and 35% more women across our workforce than the benchmarks across the software industry. We also deliver on our promise of career growth with career mobility at ZoomInfo coming in over 2.5 times higher than the career mobility that can be found at other SaaS companies. We strive to attract the best people regardless of race, gender or orientation, and we ensure pay equality throughout the organization. This year, we're publishing our first ever sustainability report, which details our commitment to providing an environment where employees can grow and succeed, our commitment to diversity and inclusion, our commitment to privacy and transparency with respect to the data we collect, our commitment to good corporate governance and our commitment to the environment. Our goal was to identify areas that were most impactful to our business and report on relevant metrics, taking credit for our success in holding ourselves accountable where we can improve. Over time, we expect to expand the level of reporting, and we look forward to sharing our progress with you as we build a durable growth company for the long-term. In closing, we had a very strong finish to a year in which we saw broad-based strength across all areas of the business. We delivered on behalf of our customers, helping them modernize their go-to-market efforts with data and insights, and driving efficient growth in their businesses. As a result, we drove record customer additions and record retention rates in 2021. Looking forward, we're excited about the continued strong demand environment that sets the stage for our continued growth and profitability as we extend our leadership position in a more than $70 billion market opportunity. With that, I'll hand it over to our Chief Financial Officer, Cameron Hyzer.
Cameron Hyzer: Thanks, Henry. I'm pleased to say that we outperformed expectations across all areas of our guidance. We continue to execute against a strong demand environment, and we expect our momentum to continue into 2022. Our initial 2022 guidance calls for revenue growth of 36% and we expect adjusted operating income in the range of $405 million to $415 million and unlevered free cash flow between $425 million and $435 million. In Q4, we delivered GAAP revenue of $222 million, up 59% year-over-year, which implies 13% sequential growth compared to Q3 2021. Excluding the impact of products acquired within 12 months of acquisition, our organic revenue growth for the quarter was 52%. Adjusted operating income in Q4 was $86 million, a margin of 39%. For the full year, we delivered GAAP revenue of $747 million, up 57% compared to 2020 with organic growth exceeding 50%. Adjusted operating income was $307 million, a margin of 41%. And unlevered free cash flow is $347 million. For 2022, we expect to deliver more than $1 per share in unlevered free cash flow. We delivered an acceleration of days adjusted sequential revenue growth in the quarter and another quarter of consistently strong organic growth. We also drove meaningful acceleration in growth for the businesses that we acquired earlier in 2021. For example, when we acquired Chorus, it was growing just over 100% year-over-year. With further investment in sales enablement, product functionality and deeper integration into the ZoomInfo platform, we've accelerated Chorus growth to 200% relative to year-end 2020. Our international and enterprise motions continue to contribute to our overall growth as well. Our international business grew 91% in 2021 relative to 2020 and now generates more than $100 million in revenue on an annualized basis. We also ended the quarter with 1,452 customers with more than $100,000 in ACV, with revenue from those customers up 80% year-over-year. We continue to invest in customer engagement, improving usability and onboarding. We also continue to successfully execute our robust land-and-expand strategy, driving more seat expansion, data consumption and further adoption of product functionality. As a result, we delivered an annual net revenue retention rate of 116%, up from 108% in 2020. In order to continue to drive growth in the business, we further invested in growing our team, ending the year with more than 2,700 employees, more than double the number from the time of our IPO. We expect to continue to invest across the entire organization with a particular focus on expanding our sales and marketing capacity as well as product and engineering investments to support our continued growth. Turning to the balance sheet and cash flow, we ended the year with $327 million in cash, cash equivalents and short-term investments. Operating cash flow in Q4 was $71 million. And for the full year, we generated $299 million in cash flow from operations, which included approximately $33 million of interest payments. Unlevered free cash flow was $84 million for the quarter or 98% of adjusted operating income. For the year, we generated $347 million of unlevered free cash flow, a conversion of 113% of adjusted operating income. We continue to expect that on an annual basis, unlevered free cash flow conversion will be in the range of 100% to 110% as a percentage of adjusted operating income. With respect to liabilities and future performance obligations, unearned revenue at the end of the quarter was $364 million. And remaining performance obligations, or RPO, were $864 million, of which $672 million are expected to be delivered in the next 12 months. We believe that calculated billings and RPO are in precise metrics to assess in-period activity and forward momentum. As a result, we focus on days adjusted sequential revenue growth. We delivered 13% days adjusted sequential revenue growth in the fourth quarter, up from 12% in the third quarter. As of year-end, we carried $1.25 billion of gross debt. With continued growth, we saw approximately a half turn improvement in leverage in the quarter with a net leverage ratio of 2.9 times trailing 12 months adjusted EBITDA and 2.1 times trailing 12 months cash EBITDA, which is defined as consolidated EBITDA in our credit agreements. With respect to our corporate structure, we completed the dissolution of the UP-C and eliminated multiple share classes in Q4. This resulted in every share having an equal vote. As a result of the restructuring and the tax receivable agreement with pre-IPO shareholders, we expect to realize a net benefit of $1 billion over time, which is comprised of a deferred tax asset of $4 billion and a tax receivable agreement liability of approximately $3 million, which will become due as we realize the deferred tax asset. With that, I will provide our outlook for the first quarter and our initial outlook for full year 2022 results. For Q1, we expect GAAP revenue in the range of $226 million to $228 million and adjusted operating income in the range of $86 million to $88 million. Non-GAAP net income is expected to be in the range of $0.14 to $0.15 per share. Our Q1 guidance implies year-over-year GAAP revenue growth of 48% at the midpoint and an adjusted operating margin of 38%. We are providing initial full year 2022 guidance as follows: we expect GAAP revenue to be in the range of $1.01 billion to $1.02 billion and adjusted operating income in the range of $405 million to $415 million. We expect non-GAAP net income in the range of $0.71 to $0.73 per share based on 410 million diluted weighted average shares outstanding. For unlevered free cash flow, we expect to generate between $425 million and $435 million. Our full year guidance implies 36% GAAP revenue growth at the midpoint, an adjusted operating income margin of 40% and an unlevered free cash flow margin of 42%. With that, let me turn it over to the operator to open up the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Mark Murphy with JPMorgan. Your line is open please go ahead.
Henry Schuck: Mark, we can’t hear you? Can you hear us, okay?
Operator: It looks like his line is disconnected. We’ll move on to the next question which will come from the line of Brad Zelnick with Deutsche Bank. Your line is open. Please go ahead.
Brad Zelnick: Excellent. Thank you so much, guys. And congrats on a really strong finish to a great year. Henry, I know you've been asked this question a zillion different ways over the last year. But now that you've wrapped up Q4, and you look at your enterprise pipeline this year, and what customers are saying as we enter 2022, how would you characterize the momentum and spending intentions from what it is that you offer?
Henry Schuck: Hey Brad, thank you for the question. Also, I wanted to apologize for the tech issues. Hopefully, everyone can hear us loud and clear now. We have built a stronger enterprise pipeline than we've ever had in the history of our business. And that's coming from a number of different ways. I think first, the natural tailwind in the enterprise as they continue to modernize their go-to-market systems and they continue to leverage digital technologies to go-to-market is a very clear, continued tailwind. But I think the second thing that we're seeing is that the platform story is really resonating. I talked to an enterprise customer in Q4 who was using 12 different vendors to accomplish what they could do with just one ZoomInfo subscription. And that story with our [indiscernible] and as the best-in-class products, across that platform suite, I think, we're going to continue to take market share and continue to expand in the enterprise. We've hired a great team [indiscernible] our enterprise sales that we feel really strongly about. And so, we continue to build a really great pipeline within the enterprise. And I would describe it as more demand within the enterprise than we've seen in our history.
Brad Zelnick: Awesome. And a quick one for Cameron. Cameron, I think, you said the way you guys look at the business, you saw 13% in terms of growth in days – sequential growth, if I got that right in days adjusted sequential revenue growth versus 12% or an acceleration in Q3. Can you just – I just want to make sure I've got that right. Can you remind us exactly why it is that you look at the business that way? Thanks.
Cameron Hyzer: So, with our business that's predominantly or almost exclusively a subscription business, the revenue that we're recognizing in the quarter is actually the best indication of that in-period activity and momentum that we see. So, the calculation for that is essentially taking revenue recognized in the quarter and dividing by the number of calendar days, given that that's how we recognize revenue. And so, with 92 days in both Q3 and Q4 you get that revenue per day and you compare them, and that gets you to that 13% growth on a sequential basis.
Brad Zelnick: All right, thank you guys.
Operator: Thank you. And our next question comes from the line of Mark Murphy with JPMorgan. Your line is open. Please go ahead.
Mark Murphy: Yes, thank you very much. Apologies for the phone issues. Congratulations on a strong finish to the year. So, Henry, I was wondering if you could just revisit the comments you made about public sector and GSAs. I think you said something about you anticipate unseating legacy vendors with hundreds of millions of dollars of contract value. And so that was pretty specific. I'm curious, are there agencies approaching you asking to migrate to ZoomInfo, or any other details on that and just the time frame to convert on that opportunity?
Henry Schuck: Hey Mark, thank you for the question. I think, look, we are obviously new into the government space. And so, we are introducing ourselves currently in that vertical. I think the thing that I would tell you is that we've already closed business with government agencies on the contract vehicle that we announced. We feel really good about that. There are a number of places throughout government agencies that take advantage of data – like data which our customers on the enterprise side take advantage of. And they're using it for validating businesses to make sure that when they're giving out procurement contracts that those businesses are validated companies. They use it to reach out and conduct business surveys into the private sector. There are a number of really unique government use cases that we're going after. But I would tell you, it's super early in our endeavors there, but we feel good about the use case, and we feel good about the early successes we've seen.
Mark Murphy: Okay. Understood. And then as a quick follow-up, perhaps for you, Henry and/or Cameron, your diversity and inclusion stats are terrific. You're driving this incredible growth. I think you're guiding to a rule of 82 initially for this year. So you're doing it with so much free cash flow production. We're hearing from some of the software companies that the – they're kind of thinking about this ability to handle tight labor markets and wage inflation rate and so because that's a key input on your enterprise initiatives, I was just wondering if you could comment on that, how you're feeling about the ability to hire and to navigate any kind of inflation of your cost inputs?
Henry Schuck: Thanks Mark. Look, I think one of the really unique things about ZoomInfo from a talent perspective is that we've built this incredible talent engine internally at the company. I mentioned that internally we have 2.5 times the career mobility of our SaaS peers. And SaaS is not a slow space. And so to have that much more career mobility for our staff, really says something about our ability to bring in entry-level employees, train them, coach them, develop them and let them move up within the organization. We doubled down on that strategy in 2021. We continue to see it most remarkably in our sales organization where we're able to bring in entry-level SDRs and within a year, have them promoted into account executives who often are on average outperform our external hires. And so when you see that trend, you really want to invest more and more into the talent development motion here at the company, and that's what we've been doing. And that's been a huge advantage for us. Then on top of that, we put together in this last year, an incredibly compelling benefits program for our staff. We continue to provide an incredibly good place for people to work and grow, and it's culturally one of the best places in the world to work. And we think that will continue to be an advantage for us as we continue to grow our teams. And so we feel really good about where we stand from a recruiting perspective today and talent.
Mark Murphy: Thank you very much.
Operator: Thank you. And our next question comes from the line of Phil Winslow with Credit Suisse. Your line is open. Please go ahead.
Phil Winslow: Hey, thanks for taking my question. Congrats on a great quarter. Just wanted to focus in on net revenue retention obviously 116% versus 108% last year. Wondering if you could help us unpack that. Are you seeing improvements in gross churn, acceleration in seat growth or, call it, up-sell of these incremental modules? And how are you thinking about that in the coming year, particularly in sort of the – in the context of RevOS with expanded, let call it, specialized packages, and then just one follow-up to that?
Henry Schuck: Sure, Phil. So we are really excited about what we've been able to do with our net revenue retention. A part of that, let's call it, half is a part of that increase is related to the additional functionality that we've been able to roll out to customers over the past year. So we have seen that really help. The other half is really related to the operational improvements that we put in place, and we've been able to improve our gross retention as a result of those. And a lower down-sell that we saw in 2020, which at least partially related to that initial shock of COVID, but also to the operational improvements that we've put in place as well. I was just going to say, going forward, I do think that the rates that we've established in 2021 are sustainable and something that we'll look to improve upon as we look into next year and the following years.
Phil Winslow: Great and just a follow-up to that, I get this question from investors a lot. But obviously, there's a lot of focus on deplication of IDFA and sort of a future call it, cookie-free world. The question I get is how impacted could ZoomInfo be by this in terms of the data set. I wonder if you could give some color. And then frankly, on the opposite end of that, is that actually sort of potential, particularly with account-based marketing for ZoomInfo?
Henry Schuck: Thanks, Phil. We actually do not rely on any cookies to put our product together. And so our account-based marketing platform, MarketingOS or the intent assets that we have through the Clickagy acquisition in 2020 do not rely on cookies and won't be affected by the coming IDFA changes. And on the positive side, we do feel like the MarketingOS platform actually puts us in a really good place to help marketers navigate those upcoming changes. And so feel like we're in the right place at the right time with that offering.
Phil Winslow: Awesome. Thanks guys.
Operator: Thank you. And our next question comes from the line of Stan Zlotsky with Morgan Stanley. Please go ahead.
Stan Zlotsky: Perfect. Thank you so much guys, I Wanted to dig in a little bit on the investment side of the business. Where are you guys really focused on for 2022? And just on a global basis and maybe just specifically, how are you thinking about investing into your international business in 2022? And then I have a quick follow-up.
Henry Schuck: So when we look at the international opportunity, we think that there's real opportunity there for us to continue to invest. We have opened an office. They're going to win people in London, as we talked about, we'll continue to hire behind that. Those folks will be tasked with not just the U.K. and Ireland, but also reaching out and building business in the rest of Europe. I think as we continue to look into 2022, we're going to evaluate other potential areas to move into, whether that's Australia or APAC or LATAM. We'll evaluate those over time. And as we continue to build out our go-to-market motion and follow up with the data asset behind that, we'll continue to attack the large international opportunity that's out there.
Stan Zlotsky: Got it. And Cameron just for you on the margin guidance for 2022, how did you approach setting the profitability targets both on the operating income side and the free cash flow side for the year. Any changes or maybe just how did you think about the broader growth margin equation into 2022 that you contemplated in your initial guidance? Thank you.
Cameron Hyzer: Sure. So our guidance methodology has not changed. We continue to evaluate a wide range of potential outcomes and set our guidance at a level that we are comfortable that we will meet and exceed. Certainly, as we think about the margin guidance, in particular, we are planning to invest into the upside that we see in the business. So I think our investments into our go-to-market, sales and marketing capacity as well as the R&D innovation are really focused on a higher target than necessarily what we've guided to. And certainly, from an adjusted operating income perspective, we're really focused on the absolute dollar value as guidance. And ideally, we'll be able to outperform on the top line and certainly aim to outperform on that absolute dollar value as well.
Stan Zlotsky: Got it. Thank you so much.
Operator: Thank you. And our next question comes from the line of Michael Turrin with Wells Fargo Securities. Your line is open. Please go ahead.
Michael Turrin: Hey, there. Thanks good afternoon. I want to first go back to the RevOS opportunity. Comprehensive offering given the number of use cases you can enable, certainly makes sense. I'm just wondering specifically if there's anything you can share from an initial observations perspective around what that could maybe do for seat adoption or cross-sell or maybe just removing friction from the initial purchasing decisions versus what the prior product structure enabled?
Henry Schuck: Yes. I think that what we're seeing, mainly Michael is that when we're going into these conversations or over 2021 when we had these conversations, we had a number of these solutions, but they weren't organized in a way that customers could understand the breadth of those solutions. And what RevOS does for us and what the different platform and product pillars do for us is it gives us a cohesive story that we can tell all across our business from our enterprise business to our mid-market business to our SMB business. And we believe that the products that we've put together have applicability across customers of all sizes. So what it does from an enablement perspective is it gives our sellers the ability to go into those conversations in a way that allows them to articulate the broad spectrum of the platform in a way that our customers are understanding much more clearly and we've tested this. We actually tested this in December and January, and we actually saw an uptick in both win rate and ASP on the new business side as we continue to present the offering through the lens of RevOS and the new packaging structures we put together alongside it. So we feel really good about the future of being able to tell that broader story with this structure.
Michael Turrin: That all makes sense. Cameron, you mentioned 52% organic growth in Q4. Can you just expand on what you're assuming there in the full year guide or remind us when you start to anniversary some of those contributions as well. Thank you.
Cameron Hyzer: Sure. Well, we certainly anniversaried the contributions from EverString and Clickagy in Q4. So that created a bigger base off which we were growing off of. As we look forward into 2022, I think we're focused on continuing to grow the entire business. I think realistically, you have a – we integrate our businesses very quickly. And therefore, there is a little bit of kind of mixing of the Chorus product or the RingLead product with our existing products when we're going out and selling. So we don't specifically make assumptions around those, but those will be anniversaried obviously, for Chorus in July and for RingLead September.
Michael Turrin: Thank you.
Operator: Thank you. And our next question comes from the line of Alex Zukin with Wolfe Research. Your line is open. Please go ahead.
Alex Zukin: Hey guys thanks for taking the question. Maybe Henry, first for you, I'm going to ask the dollar-based net expansion question a little bit differently. If you think about the 116% from 108% last year, obviously, a big improvement and a big jump versus kind of the movements you had been making previously. How do we think about like what's the right aspirational rate that can be sustainable for the company? And what are the products that you feel like incrementally from here assuming that you've kind of made a lot of improvements on the gross retention side and the incremental from here is going to be on the expansion, particularly on the enterprise. What's the right way to think of what products are you most excited about to get you there?
Henry Schuck: Yes. Thanks, Alex. I think when we look at the net retention rate today, we obviously feel like there's room for improvement. It's not a metric that we're going to specifically guide to but we do believe there's room for improvement in that number. One interesting stat is the average number of our products owned by customers who've been with us longer than a year grew by over 25% year-over-year and over 45% in our enterprise customers. And that's being driven by the newly introduced products, our streaming and custom intent product, our engage product Chorus, RingLead. And so I think that what I see going forward is still very similar. I think on one end of the spectrum, you have companies that are not fully utilizing our core product set. And so we can expand the licenses, the seats across the sales enterprise, the use of enrichment and APIs across the marketing and revenue operations organization. But then additionally, our sellers are enabled now to sell Engage and Chorus and Recruiter into those companies as well. And so I would say, if you take a step back and you say where are our biggest opportunities, it is still in expanding our footprint across the enterprise, expanding our footprint internationally. But then we have this added arsenal of Chorus, Engage, RingLead, Chat that we’re able to sell in a cohesive way into those companies. And so I think we have a sort of two-headed motion into the customer base that we think is going to be the backdrop of that improvement as we go forward.
Alex Zukin: Perfect. And then, Cameron, maybe for you. On the international side, I think you guys – you made a really interesting hire in the UK geography. I think also the fact that you’re actually putting resources in market rather than selling EMEA from the U.S. probably carries a pretty impactful cost envelope that you’re including in the guidance. I just wanted to get a sense for as we think about 2022 and we think about international revenue growth, both as from the top line perspective and the incremental kind of front-end loaded spend profile that, that growth is going to carry. How do we think about that in the context of your guidance in the context of whether its outperformance or whether it’s conservatism, anything there would be super helpful?
Cameron Hyzer: And certainly, when you think about developing our forward-looking models and guidance, we are thinking about the efficiency of our sales and marketing teams and having a new office and ramping up in London and then thinking about other geographies internationally. It certainly comes at a lower initial efficiency than just adding folks in the U.S. I do think and based on our kind of discussions internally that efficiency will pick up relatively quickly, largely based on the motions that we have in place to bring people on board, get them up and running quickly, give them the tools and kind of training that they need. And based on the fact that we have been in the international markets for some time and really investing into onshore teams selling out into Europe by shifting their hours to align with European time zones, I think – we feel that our methodologies and motions around bringing those people on will enable us to do that relatively quickly. But certainly, when we set our guidance, we do look at a wide range of potential outcomes and certainly set it at a level that we feel comfortable that we can exceed.
Alex Zukin: Perfect. Thank you guys.
Operator: Thank you. And our next question comes from the line of Brent Bracelin with Piper Sandler. Your line is open. Please go ahead.
Brent Bracelin: Thank you. Good afternoon. We continue to feel some questions for investors around this pull forward in direct selling efforts kind of post COVID. Henry, for you, maybe, can you just frame the expansion potential that you see for the Sales OS product in particular across just the existing enterprise base? How much kind of room still do you have to expand that would be helpful. Thanks.
Henry Schuck: Thanks, Brent. I have not had a single enterprise call with a single enterprise customer where there isn’t double-digit expansion opportunity within those accounts from a Sales OS perspective. They’re just – we still continue to be really early in our penetration across the enterprise. And so we continue to make headway there, but it’s still really, really early and lots and lots of opportunity in the core Sales OS motion. I’ll tell you, we’re constantly looking at the data, the historical data we look at win rates, funnel conversion, top of funnel activity, and we spent a real amount of time looking for anomalies that we could tie back to some relation to COVID. And we didn’t see anything that would believe that the current strong demand trends we’re seeing wouldn’t continue or were one-off or a pull forward. And we wanted to be confident about that because it would affect the way we operate the business. We didn’t see any anomalies like that that made us think that COVID caused a pull forward in the demand environment that we’re seeing today wouldn’t continue.
Brent Bracelin: Helpful color there. And then just, Cameron, quick follow-up relative to the lands. You have a broader portfolio of product, the repackaging, layers in now Marketing OS and Sales OS. And obviously, it sounds like there’s an acceleration in course as well. Are the land deals changing relative to the size of the lands as you start to bundle? Or is it still a relatively consistent land, more meaningful expand over time? Just trying to understand, as you think about a bigger product set, is that changing the size of the lands that you’re seeing so far?
Cameron Hyzer: And I think that on the margin, we do see slightly larger land, particularly as we’re packaging things together and providing more value to the customers. But yes, I will point out that the kind of existing ZoomInfo customer base of over 25,000 customers, those tend to be customers that have leaned into digitizing their go-to-market motions over time. And generally, the first thing that they would have bought was ZoomInfo. They’re focusing on making insight-driven decisions and improving their go-to-market teams through high-quality data and insights and then they tend to add on additional applications in addition to that. So I think where we’ve developed or acquired additional applications, most of those sales are kind of following the wave of people that are initially invested into digitizing their go-to-market motion, and now they’re leaning into adding additional functionality in those – more often than not are already customers of ours as opposed to people that were selling outright a brand-new solution. So I think there’s opportunity for us to continue to bring that initial land up higher. But those existing relationships that we have with customers are really the place where we’re seeing more and more of that additional functionality go into folks and really being able to accelerate at that net expansion that we have.
Brent Bracelin: Helpful color and certainly great to see the third straight quarter of 50% plus organic growth. Thanks.
Operator: Thank you. And our next question comes from the line of Kash Rangan with Goldman Sachs. Your line is open. Please go ahead.
Kash Rangan: Hi, thank you very much. Congratulations on superb quarter. I’m curious to get your perspective. I think I asked you this kind of question in the last quarter. So that – it seems to be that you are becoming really a CRM company, of course, without the system of record, the pipeline management and all that. But all the leading indicators and all the things that precede something going in the system of record. So it certainly seems like the vision is much broader than what the company has been doing in the past. And we can see that the acquisition of Chorus.ai and your Engage platform, Intent platform, et cetera. Question for you is, have you started to do deals, maybe you did, and you have talked about it, but I would love to get a little bit of edification on the deal profile with customers that are not choosing ZoomInfo for the core data platform, but are actually intrigued by what you have to offer outside of the core data platform so as to gauge and starting to hit the big leagues and you’re not just a data platform, but something way bigger than that, that you have what it takes to go up against the more established CRM giants in the industry. Thank you so much. I mean the positively by the way.
Henry Schuck: Thanks, Kash. I mean, I’ll tell you first, we do not have today aspiration to be a CRM platform that’s not in our road map or the way that we think about the forward progress of the business. Obviously, CRMs are a core hub for how businesses operate, whether it’s go-to-market or finance or configure price quote, those are key functionalities that businesses need from their CRM. We’ve realized that there’s just a number of activities that take place outside of the CRM. That go-to-market teams are using today; two, target and sell and market their products and solutions. You think about Chorus and conversational intelligence and the insights that come from that, you think about RingLead and orchestration and routing and deduplication, you think about chat on your website. And even the core of what ZoomInfo does, which is the ability to build really hyper targeted audiences and bring in a number of third-party signals to build those audiences. Those are all activities that every go-to-market team is doing that don’t happen inside of the CRM. And so our perspective on the direction that we’re going is to really own that set of activities that doesn’t happen natively inside of CRM and be best-in-class around those. Now what’s interesting about those offerings is they’re all tied into the data asset. When we build the application layer, we build it, first and foremost, with a data asset at its core because we believe that all of those applications actually get meaningfully better and differentiated when the data asset is sitting at its core. And so they’re hard to like pull apart and say, here’s a solution that’s just purely software, no data asset. And how are we competing with that against the competitor or against the CRM because all of those solutions, the first thing we do when we build them is that we just embed that data asset right inside of them. What I will tell you is there are customers, there are Chorus customers and RingLead customers and Chat customers who we haven’t yet converted to core ZoomInfo customers. And so those solutions do standalone of opportunities still. But we really do believe that once the data is embedded and you’re getting the entire platform from us that’s where things get really competitively differentiated.
Kash Rangan: Great, remarkable transformation and repositioning. Thank you so much. Congrats.
Henry Schuck: Thank you, Kash.
Operator: Thank you. And our next question comes from the line of Siti Panigrahi with Mizuho. Your line is open. Please go ahead.
Siti Panigrahi: Thanks for taking my question. I wanted to ask about recruitment. That’s the one area you have been focusing on last year. What sort of progress you have seen and now we see Recruiting OS that’s probably rebranded or something. Could you talk about like what’s the uptick so far? And what’s your expectation for this year?
Henry Schuck: Absolutely. Thanks, Siti. I think, first of all, there’s no better time in history to be selling a Recruiting platform. And so we think timing into this space couldn’t have been better for our platform. Revenue on the Recruiter platform nearly doubled between Q3 and Q4. We now have close to 1,000 customers who are currently leveraging our Recruiting OS platform. That platform continues to have real momentum. We’ve built a sales team around it, and we’ve enabled our sales teams to understand how to take it to market. And so we feel really good about that momentum continuing into 2022.
Siti Panigrahi: Thank you.
Operator: Thank you. And our next question comes from the line of Raimo Lenschow with Barclays. Your line is open. Please go ahead.
Unidentified Analyst: Hey, this is [indiscernible] on for Raimo. Congrats on a strong end of the year. Maybe just one for Cameron. It was great to see the inflection in Chorus from a revenue perspective. So I guess with that, how should we think about the inorganic contribution to billings in the quarter?
Cameron Hyzer: So I would say that the inorganic contribution to billings is, obviously, you can see the revenue piece is around $10 million of revenue that came on the inorganic side. In terms of the unearned revenue change, I would say that it’s a similar percentage to the revenue contribution that comes from those entities. So I’d say it’s relatively small at the end of the day. But certainly, we don’t – we’ve bundled a lot of these deals together. So the – we don’t break out the unearned revenue specifically.
Unidentified Analyst: Perfect. Thank you.
Operator: Thank you. And our next question comes from the line of Parker Lane with Stifel. Your line is open. Please go ahead. I think the line is disconnected. So we will move to the next question, which will come from the line of Taylor McGinnis with UBS. Your line is open, sir. Please go ahead.
Taylor McGinnis: Yes. Hi. Thanks for taking my question. You talked a lot about the emerging opportunities with international Chorus and others, and it seems like those are growing really fast. So as we look at the 2022 guide and you see continued momentum with those parts of the business. Can you maybe talk a little bit about your expectations for the core U.S. data business and what that contribution could look like for the full year based on what you're seeing with your customers?
Henry Schuck: So look, we're really excited about the demand environment overall for the business. I think that's true, and continuing to expand the U.S. data business as well as those emerging products that we've developed or acquired. As we think about guidance, we're certainly looking at a broad range of outcomes. And we set the guidance at a level that we're confident that we can meet or achieve or meet or exceed. And certainly, what we are aiming for is to maintain the momentum across all of the different vectors of growth, which includes the domestic core business or international business, the enterprise part of the business and all of the new products that we brought on this past year.
Taylor McGinnis: Great. Thanks.
Operator: Thank you. And our next question comes from the line of Koji Ikeda with Bank of America. Your line is open. Please go ahead.
Koji Ikeda: Hey great. Thanks for taking my question guys. I wanted to ask you a question on the international expansion. Noticed that you had the London expansion, kind of your first bullet point here in the press release. So first question, what level of senior executives are planning to move out there? I mean Henry and Cameron, are you guys moving out to London? How do I think about that? And what other kind of senior roles are you looking to hire within that region? And is there any particular region in Europe that you're targeting first?
Henry Schuck: Well, first, I would tell you, we are spending – I'm not – Cameron is not moving to London. But we are setting a number of our key executives out there. We have a Senior VP, who's relocating there. Obviously, Simon McDougall, our Chief Compliance Officer will be based there. We'll continue to build out our sales team and sales leadership there as well. We really do think it's in – the culture of ZoomInfo is really unique, and it's special and its fast pace and especially in the go-to-market organization. It's an incredibly unique go-to-market engine. And so we really do want to infuse the culture from the states into that office in London. And so we will continue to look for opportunities to move sort of core U.S.-based go-to-market leadership and other leadership into that office. I think we're still focused on a pretty large opportunity in English-speaking Europe and Australia and New Zealand. And so I think there's still tremendous opportunity in the U.K., in Ireland, Australia, New Zealand and so we'll continue to advance the platform there, and that's going to be our focus in the near-term.
Koji Ikeda: Got it. Got it. Thanks, Henry, and just 1 quick follow-up, if I may. Now there's been a couple of questions on NRR. And I was just wondering, I know you guys give it on an annual update right now. But going forward, is there any thought of maybe giving a midyear update or a quarterly update? Or maybe you could eclipse another milestone, say, like 120% on the net revenue retention, announcing that mid-year?
Henry Schuck: We really think of NRR as being an annual metric. It obviously starts at the beginning of the year and the end of the year. we do plan to, and we have in the past, kind of given directional updates in the quarters of how the actual activity within this quarter as compared to the prior year, and I think that'll be our expectation going forward as well.
Koji Ikeda: Got it. Got it. Thanks guys.
Operator: Thank you. And our next question comes from the line of Parker Lane with Stifel. Your line is open. Please go ahead.
Parker Lane: Yes. Thanks for taking the question guys and congrats on the quarter. Henry, if we look at the orchestration side of the business, specifically RingLead, a lot of traction seemingly there right now. Can you just give us a better sense, if you look out across the customer base, what processes or solutions those customers in your target markets are replacing with your orchestration tools? Are a lot of these mid-market and smaller enterprises leaning in on orchestration for the first time? Or are there a handful of solutions that you're going after and displacing with your more full-featured platform? Thanks.
Henry Schuck: Great. Thanks for the question. I think that what we see most often is that the orchestration capabilities of an organization are tied up in the hands of a couple of developers somewhere in the IT organization. And they don't operate at the speed of the go-to-market organization. And so when you want to make a routing change or you want to make an orchestration change or your territories change, all of a sudden, you get way back in the queue in the IT ticketing process to try to get those changes for a developer to make directly inside of whatever your go-to-market system is. And what RingLead is able to do is as it revolutionizes that process, and it puts that power inside of a revenue operations professional TAM, marketing operations professional TAM. So they're able to build the routing logic through a very simple Truelead that has the same sophistication as what it would take a scrum team months to build. And so we're putting that capability back in the go-to-market professional TAM because they operate at a different speed. We expect them to be operating at a different speed than other parts of their business. And so that's where we end up replacing when we're replacing something as we're getting them out of this sort of very slow ticketing process that tends to be tied up in the IT department.
Parker Lane: Got it. Very helpful response. Thanks Henry.
Operator: Thank you. And our next question comes from the line of Brian Peterson with Raymond James. Your line is open. Please go ahead.
Brian Peterson: Hey gentlemen, thanks for taking the question. So Henry, you mentioned in your testing bundles that you saw an ASP uplift. I'm curious if you could share any details on how significant that may be. And as we think about the integral [ph] figure going forward, how should we think about the impact of ASP expansion as a driver of NRR expansion going forward?
Henry Schuck: Yes. So I think what we saw in December and January, we were testing this new packaging and pricing structures was small, but we expect our – we expect the ASP lift to expand as we continue to roll that out to the full sales team. I think what you see us able to do at the front end of the new business sale is really attach more of the newly introduced products. And so where we can attach, Engage and Chorus and RingLead at the front end of the platform, we'll seeing expanded ASP? And then the real opportunity for those newly introduced solutions is really into the account base. And so we've enabled our sellers and built a structure that will allow us to get in front of our customers to share the platform story and get these new solutions into their hands. That will be a driver of net retention in 2020. I think we're giving specific guidance on how much of them.
Brian Peterson: Understood. Thank you.
Operator: Thank you. And our next question comes from the line of Rishi Jaluria with RBC Capital Markets. Your line is open. Please go ahead.
Unidentified Analyst: Hi. This is Richard on for Rishi. Just a quick question on the vertical go-to-market. I know earlier, you discussed the government vertical. And last quarter, you touched on your efforts around the health care vertical. So I was just wondering if maybe you could talk about other opportunities where you see potential to verticalize the platform? And maybe just an update on the demand trends you're seeing in the verticals that you are currently addressing?
Henry Schuck: Thanks, Richard. I think what we're seeing from a go-to-market perspective is that, is less about verticalization and more about specialization. And so where we have an opportunity to specialize our sales motion, we're going to specialize it. So we do that in our RecruiterOS platform. We do that in our MarketingOS platform. We do it across [Technical Difficulty] and then we've built a solution sales team that we can bring into a number of our other opportunities who can help us specialize the knowledge around the different platforms or the different offerings. But from a vertical perspective, there isn't like 1 specific vertical that we're re-architecting the business around. It's more aligned around personas that we sell to. And so the new packaging and models that we're rolling out are aligned around persona. So a sales persona, a marketing persona, and operations persona and a recruiter and talent acquisition persona. And that's the way we really think about our offering and the way that we take them to market.
Unidentified Analyst: Okay. Perfect, thanks.
Operator: Thank you. And our next question comes from the line of with Terry Tillman with Truist. Your line is open. Please go ahead.
Joe Meares: Hey guys thanks for taking the question. This is Joe Meares on for Terry. I think last quarter you noted that you had 2,000 customers on the Engage platform. I'm just wondering if you could quantify how many you added sequentially? And then just like a bigger picture perspective, what type of penetration could this platform get across your 25,000-plus customers over the next several years? Thanks.
Henry Schuck: So I really on Engage, I really do believe that every one of our customers has an opportunity to be leveraging our Engage platform. And we – in the quarter, we released the most features we've released against that platform, including a Gmail plug-in and a native integration with Microsoft Dynamics CRM and a number of additional features that we really believe this brings this platform now up to competitive parity in the market. And so we're excited about taking that all the way up and down our customers from our large enterprise customers to our SMB customers. And it's a tremendous attach rate. We do a really great job of attaching Engage in the new business side. And then we're expanding that now to attach and Engage on our existing customer side as well, but a real opportunity for all of our customers to be leveraging Engage. There's no pocket of customers that don't have a use case for the Engage platform.
Joe Meares: That's helpful, thanks. And then I think last year, you had a target to add 30% sales capacity. Do you have a similar target for 2022? And then I guess, just like if you could qualitatively split that across North America and your international initiatives that would be helpful? Thanks so much.
Cameron Hyzer: Yes. So yes, I would say that, that 30% growth is really a long-term target over time. As we look into the shorter periods, we are roughly aiming to increase our sales and marketing capacity in line with revenue. So I think that based on our guidance that would be a 36% growth rate, although I think we're in the short-term, investing even more aggressively into that and looking for those investments to pay off. In terms of the split domestic versus international, certainly, the international growth rate is higher because it's coming out from an effectively zero at the end of the year. But it's still – I think we're still looking to invest in both domestically and internationally aggressively as we move forward.
Joe Meares: Thanks a lot.
Operator: Thank you. And I'm showing no further questions at this time. And I would like to turn the conference back over to Henry Schuck for any further remarks.
Henry Schuck: Great. Thank you, everyone, for joining us, and thanks again to the entire ZoomInfo team for all the hard work that went into making 2021 such a tremendous year. We feel great about what we delivered this past year. We're even more excited for the year ahead. And we're looking forward to seeing you at the Investor events we have scheduled for this quarter. Please save the date for our Virtual Analyst Day scheduled for June 2nd at 3:00 p.m. Eastern. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.